Operator: Good morning, and welcome to the MarineMax 2022 Fiscal Second Quarter Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Dawn Francfort of ICR, Investor Relations for MarineMax. Please go ahead.
Dawn Francfort: Thank you, operator. Good morning, everyone, and thank you for joining this discussion of MarineMax's fiscal second quarter 2022 conference call. I'm sure that you've all received a copy of the press release that went out this morning. But if not, please call Linda Cameron at (727) 531-1712, and she will e-mail one to you right away. And now I would like to introduce the management team of MarineMax. Mr. Brett McGill, President and Chief Executive Officer; and Mr. Mike McLamb, Chief Financial Officer of the company. Management will make a few comments about the quarter and then be available for your questions. And with that in mind, let me turn the call over to Mike. Please go ahead, Mike.
Mike McLamb: Thank you, Dawn. Good morning, everyone, and thank you for joining this call. Before I turn the call over to Brett, I'd like to tell you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I'd like to turn the call over to Brett. Brett?
Brett McGill: Thank you, Mike, and good morning, everyone, and thank you for joining this call. Let me start by thanking the amazing MarineMax team for their performance in the quarter. We are proud to have one of the finest and most tenured management teams in the industry. Generating 7% same-store sales growth on top of a 45% comp a year-ago is outstanding. This is quite an achievement given the lean inventory environment and continued supply chain challenges. But an even greater accomplishment is that our team delivered these results while also providing exceptional customer service as affirmed by our record Net Promoter Customer Satisfaction levels, which is ultimately the key to driving sustainable future sales and profitability. Let me start by touching on the March quarter where we generated 17% revenue growth, record second quarter gross margins of 33.7% and earnings per share of $2.37. Our diversified model enabled us to again exceed expectations as we produce robust earnings growth and cash flow. As I mentioned, we are particularly pleased with our strong same-store sales growth for the quarter. This quarter's comp and the size of our backlog makes it clear that the overall demand for the boating lifestyle remains strong. Additionally, we drove meaningful expansion across essentially all brands, categories and geographic regions, only limited by product availability. We anticipated two years ago that boating would be one of the beneficiaries of a changed world. This quarter is evidence of the sustainability of that trend. This strong demand environment is highlighted by our customer deposits, which exceeded $164 million and grew sequentially on top of our strong same-store sales growth. We are leveraging our scale, global presence, product diversification and digital platform to generate these results. Based on available industry data, we believe, we continue to gain market share. From a cadence perspective, the supply chain headwinds did not improve much in the quarter. However, we continue to work closely with our manufacturing partners to ensure we are properly communicating with our customers and getting them into their boats as fast as possible. Many experts in the industry are forecasting that inventory will likely remain historically low into 2024. To that point, most manufacturers and dealers agree that the future level of inventory is likely to be leaner than in the past, given the benefits that leaner inventory creates across the industry. From a six-month perspective, we delivered almost $1.1 billion in revenue, with same-store sales growth of 8% on top of 33% a year-ago. Gross margins grew to a mid-year record, and we delivered almost $90 million in net earnings and $4 in earnings per share. It's quite an accomplishment. Now let me turn to the important peak selling season. Demand is strong, and we are well-positioned and prepared to serve our customers. To that point, the success of recent boat shows in Miami and Palm Beach reaffirmed our confidence. Our team continues to leverage our stores and our online platform, generating exceptional customer experiences. Our deep manufacturing relationships and nationwide shared inventory gives us a competitive edge. Many of our brand expansions continue to mature and accelerate within our retailing model, which should keep driving future incremental growth. As we mentioned before, because of the size of the territories we have for many of these brands, we are not limited by physical facility in terms of our ability to sell and expand. I'd like to underscore our strategic growth plan which propel sustained market share gains and revenue growth, while expanding companywide margins. This quarter, we increased our operating margins by 170 basis points over last year's record to 11.8%. This performance is directly attributable to our ability to execute our strategy of growing our higher gross margin businesses. To that point, our growth strategy has been focused on seeking and acquiring great companies with strong management and generally a higher margin profile. These strategic acquisitions, combined with improvements in finance and insurance, service, brokerage, and the expansion of our substantial storage operations have resulted in structural increases to our gross margin. Additionally, as we integrate our acquisition, they continued to perform very well and are aligned with our margin expansion strategy. We have seamlessly integrated these businesses into MarineMax and believe opportunities exist for continued sharing of best practices and resources to drive even greater growth in the years ahead. We recently announced the addition of a Superyacht Management Company to our Northrop & Johnson operation. SYM, which is located in the south of France complements MarineMax's ongoing diversification into a higher margin and global business and strengthens our commitment to providing exceptional customer experiences across all Superyacht service offering. Superyachts are a growing segment of the industry, and we will continue to aggressively grow this segment of our business. Now let me discuss the confidence we have in our overall growth strategy. We start the second half of the year with very strong visibility in terms of backlog and are well-positioned to serve our customers. The foundational pillars of our strategy are creating exceptional customer experiences through the best team, services, products and technology. With regard to technology, we recently invested in Boatzon, the only totally online marketplace platform in the industry. The partnership aligns well with our higher-margin business growth and diversification goals. We believe the combination of our team's expertise and our history of success will enable us to leverage this leading innovative technology, enhancing the customer experience. Our team remains committed to our mission, which is resulting in strong execution, delivering high Net Promoter Scores and increased sales and margins. We continue to accomplish this through our global market presence, premium brand, valuable real estate locations, exceptional customer service, technology investments, strategic acquisitions, and finally, our unwavering commitment to build our strong company culture. Supported by one of the strongest balance sheets in the industry, we will actively make strategic acquisitions in a disciplined manner. Our broad global presence has allowed and will continue to allow us to grow by adding additional dealers, marinas, storage, service-related offerings, manufacturing and asset-light businesses. The combination of robust operating leverage, significant cash flow and strong consumer demand led to record results in the first six months of 2022 and we believe will drive sustainable growth for the remainder of 2022 and beyond. And with that update, I'll ask Mike to provide more detailed comments on the quarter. Mike?
Mike McLamb: Thank you, Brett, and good morning again, everyone. I'd also like to start by thanking our team for their strong efforts that produced record revenue and earnings to the first six months of the year. For the quarter, revenue grew 17% to $610 million, largely due to same-store sales growth of 7% and contributions from our various recent acquisitions. Our same-store sales growth was driven by an increase in our average unit selling price as units declined due to the lean inventory environment. Keep in mind, absent the acquisitions we have completed, our inventory is below last year's level. A big takeaway once again this quarter is our ability to post strong comps on top of already strong comps. Overall, our growth is only limited by product availability. Our gross margin rose 370 basis points to 33.7%. Our record second quarter gross margin was due to several factors. Among these are improving margins on new and used boat sales, impressive service, parts and storage performance, expansion in our higher margin finance, insurance and brokerage business, as well as growth in our global Superyacht services organizations of Northrop & Johnson and Fraser Yachts. Less than half of our margin improvement in the quarter came from growth in new and used margins. The remainder was expansion of our higher margin businesses. Regarding SG&A, the majority of the increase was once again due to rising sales and the related commissions, combined with the recent acquisitions. We believe SG&A overall is generally on track on an annual basis, but we will watch the inflationary pressures carefully. Our operating leverage in the quarter was over 22%, which drove very strong earnings growth, setting another quarterly milestone with pre-tax earnings of over $71 million. Our record March quarter saw net income increase 37% and earnings per share rise over 40%, generating $2.37 versus $1.69 a year-ago. Moving on to our industry-leading balance sheet. We continue to build cash with over $219 million at quarter end. Our inventory shows a 9% increase, but excluding the acquisitions, it's down in the high-single-digits year-over-year. Our balance sheet reflects an increase in property. Over the past several months, we have purchased three formerly leased marinas in New Jersey and also purchased a marina in Fort Walton Beach, Florida. The Fort Walton property will require some development. In the same context, we are developing a marina in Stuart, Florida on own property adjacent to our retail location. As we have indicated, we have found that where we can own and control storage locations, coupled with our retail strategy, it results in great earnings and cash flow and increases the stickiness with our customers. Looking at our liabilities. Short-term borrowings increased $23 million due to inventory and the timing of payments. Customer deposits, while admittedly lumpy, increased sequentially from December to over $164 million and is double the elevated level from last year. Our current ratio stands at 1.70, and our total liabilities to tangible net worth ratio is 1.24. Both of these are very impressive balance sheet metrics. Our tangible net worth is $428 million. Our balance sheet has always been a formidable strategic advantage and today, more than ever, it continues to protect us at uncertain times, while providing the capital for expansion as opportunities arise. Now turning to our outlook for fiscal 2022. The March quarter certainly exceeded expectations and industry demand trends remain strong. The challenge in 2022 remains the supply chain. Today, given what we are being told from our various manufacturing partners, we continue to expect unit growth in 2022. However, given the recent supply chain issues caused by the lockdowns in China, and the war in Ukraine, we think it's prudent to continue to expect flattish unit growth until we have better supply visibility. This, combined with increases in our average unit selling price should provide annual same-store sales growth around the mid-single-digits. Including all recent acquisitions, we expect total annual revenue growth in the mid-teens. We continue to hope that supply chain improvements will provide upside as we move through the rest of the year. Accordingly, we are raising our earnings per share guidance to the range of $7.90 to $8.30 for 2022 from $7.60 to $8. Our guidance excludes the impact from any additional acquisitions that we may complete. Our guidance uses a share count of about 23 million shares and an effective tax rate of 25%. Regarding EBITDA, we expect fiscal 2022 EBITDA to be over $260 million. Also, as appropriate, as we progress through the year, we will provide updates. Turning to current trends. We expect April will end with positive same-store sales growth and our backlog remains at record levels. As we have said, industry demand remains strong, and we are generally outperforming these elevated levels. I'll now turn the call back over to Brett for some closing comments. Brett?
Brett McGill: Thank you, Mike. As I stated at the beginning of this call, our team's performance the first six months of fiscal 2022 continues to show excellent execution as our diversified model and exceptional customer service generate sustainable growth. The original vision for the creation of MarineMax was to create a better customer experience by building a team that is dedicated to the passion and lifestyle of the boating community. This is the basis of the success of our model, and we continue to work hard to deliver. We remain committed to the long-term financial strength of the company and will pursue acquisitions, additional brand expansion and higher margin businesses with a focus on recurring revenue, which will support our overall growth strategy, all with the view to create long-term shareholder value. And with that, operator, let's open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Thank you. Our first question is from the line of Joe Altobello with Raymond James. Please proceed with your questions.
Joe Altobello: A couple of questions on the outlook. You raised your EPS guidance, obviously, kept your top line guide unchanged. So I guess first question is, what was the biggest surprise on the margin front that you've seen so far in the first half of the year?
Mike McLamb: I guess, little bit of surprise. I mean, obviously, we've structurally changed, at least we believe we have, the margin profile of the company with a number of the different acquisitions that we've done over the years. So we are expecting margins to be healthy. New and used margins continue to be healthy. I guess I would say the -- our ability and our team's ability to pass along price increases that we received from manufacturers with a tremendous amount of hesitation has -- maybe that's a little bit of a surprise in terms of EBITDA margins of this quarter. But that's certainly been the trend all along through the last several years. So -- but no other real surprises around margins. I mean, the mix of our business continues to skew towards these higher-margin businesses, our service, F&I, our storage business, certainly our Superyacht services company, which -- or companies, which continue to do very, very well. The manufacturing operations of cruisers and Intrepid performed well in the quarter. So really just everything really came together pretty good. The only thing we do cite is just some continued challenges are on the supply chain, right, and how much product we can get.
Joe Altobello: Got it. And then just secondly, I think on the last call you mentioned mix on the boat side trended towards smaller boats. Was that still the case this quarter? And is that an indication that maybe some customers are starting to balk at some of these higher prices?
Mike McLamb: No. I think what we talked about in the December quarter. The December quarter is usually one where you don't deliver as many smaller boats in the wintertime and so forth. And what we said is we had pretty good unit growth in the December quarter because people generally are wanting to get their boats whenever they come in. And so we had an outsized amount of smaller boats relative to the December quarter. I'd tell you, mix in this quarter, nothing jumps out to me as I think through the business. It's a healthy quarter. We've got a lot of smaller product, midsize and larger products. So it's all -- it's a pretty healthy mix. Yes.
Joe Altobello: Okay. Just one last one for me in terms of the model. Last year, gross margin in the second half bounced around a lot. You did 31% in Q3, and then I think jump up to 38% in Q4. How do you guys see the second half of this year? Is it going to be lumpy? Or is it a little bit more flattish versus the first half?
Mike McLamb: We said on last quarter's call to expect in our guidance that we were having a little bit of margin pressure baked in. I didn't really address it this time. I think mathematically to get to the numbers, you would have a little bit of margin pressure baked into the back half of the year. We don't have anything today telling us that, but I think it's prudent just given inflation and so forth that there could be some.
Brett McGill: Yes, I'll add to that. Supply chain and transportation and shipping could put pressure on those margins. So we're probably a little cautious there.
Mike McLamb: Yes.
Joe Altobello: And are Q3 and Q4 are going to be similar or big jump before, again like we saw last year?
Mike McLamb: We look, we do this as a back half of the year. Joe, we don't really get to caught up from a quarter-to-quarter perspective. We look at it as a -- as just the back half of the year.
Operator: Our next question comes from the line of Fred Wightman with Wolfe Research. Please proceed with your question.
Fred Wightman: Hey guys, good morning. I was just wondering if you could dig into the outlook again. I mean you beat pretty materially, you increased the midpoint of the full-year by a little bit less than that beat. Is that just conservatism or is there something that you're actually seeing in the market today that's making you a little bit more cautious as you look into the back half of the year?
Mike McLamb: Yes. No, there's really nothing from a demand perspective that we're seeing that would cause anything. I mean we've -- I think we've just completed 24 months or more just unbelievable sales and our customer deposits increased sequentially. We're up double over last year. And I mean our commentary suggests that demand trends should look pretty good. I'd say if there's anything out there that we've mentioned a couple of times in the script, it's just around the ability to get enough product. However, given what our manufacturers are telling us today, we continue to think we're going to get the product. It's just -- the supply chain is still kind of choppy out there, and we want to be prudent in our expectations. And I sure hope to come back and update you guys as we go through the back half of the year.
Fred Wightman: Make sense. And then just in terms of geographies, a couple of different references to a slower start in the Northeast. Is that something that you guys are seeing as well? Do you feel like you'll be able to make that up just as weather normalizes? Or is that not really something that you're seeing?
Brett McGill: Yes, Fred, this is Brett. I think anything we're seeing right now up there would be somewhat granular and somewhat weather related, but there's nothing to point out from an inbound demand, traffic, deal -- writing deals. Nothing like that seems to be in the way, just maybe some weather patterns to get boats delivered.
Operator: Our next question comes from the line of Eric Wold with B. Riley Securities. Please proceed with your questions.
Eric Wold: Thanks. Good morning guys. A couple of questions. I guess one kind of follow-up on the gross margin question. I guess, not really looking to back half of the year, specifically base, just in general. With all the changes that you've made through diversification, the acquisitions, the out brokerage and management, now kind of moving more towards into the marina space. How likely is it that you can sustain margins -- gross margins above 30% long-term, if kind of the traditional new and used boat business kind of normalize, so to speak?
Brett McGill: Yes, Eric, I'll comment first. Prior to the pandemic, we put a strategy plan together, multi-year, that you see in our acquisitions, as you referenced. And all the things we're looking forward to generally raise our margin profile around that -- to that 30% range. That was kind of our goal, give or take a little bit. And that was based on understanding that both margins would kind of sit at some historical level that we used to have. So that kind of tells you we were looking at building these higher margin businesses, looking at acquisitions like that. And now obviously, we've gotten a tailwind from new and used boat margins. And so will those maintain for many, many, many years to come? We'll see about that. What I would say with new levels of inventory that dealers will carry, I think there's going to be a new view on that from both manufacturers and dealers. That should help preserve margins, maybe not exactly to the level they're at today, but something much better than we've seen historically. And Mike, do you want to comment on that further.
Mike McLamb: Yes, I just -- I've said this before, but if you listen to what we say each quarter about kind of the trends within the margins, usually it's a third, 40% or less than half is new or used expansion of margins. So if you just take our margin growth, and let's say, you take a third or 40% off of it. Today, you'd have something north of 30%. It's certainly the goal that we've set out before -- a number of years ago to structurally change the business. It looks like we've made a lot of progress there. So that's what we're trying to head towards. And then once we're there on a long-term basis, we'll see how we get higher than that.
Eric Wold: Perfect. And then last question. Looking at the floor plan balance over the past call it 18 months, it's bounced around a fair amount, kind of quarter-to-quarter. What's your general philosophy on using the floor plan financing to finance the inventory? Do you want to keep more on hand for some of these marine activities you're looking at, acquisition options that are out there? Is it more just you've got the cash, why spend the interest on financing? Just what's the general plots on where that should trend, as inventory maybe improve?
Mike McLamb: Yes. So our floor plan is unique. So we have the ability to borrow and repay against our floor plan, which is unique in the industry. And so we certainly try to keep it as low as possible. Although rates are pretty darn cheap still, even though rates are starting to rise, still very cheap. But we've not been inhibited to -- from an execution standpoint, to really accomplish any of the growth initiatives we want to and we're able to accomplish from buying marinas properties, which I talked about on the call and reinvesting in our facilities, buying great companies with great management teams. We do have a share repurchase plan in place, all of that. And we also have built strength on the balance sheet. So we're in a very advantageous position to be able to kind of accomplish everything you want to do and keep debt relatively -- the floor plan relatively low.
Operator: Our next question is from the line of Michael Swartz with Truist Securities. Please proceed with your question.
Lucas Servera: Hey guys, good morning. This is Lucas on for Mike. I was wondering if you could give any more color as to how much you expect the superyacht and Boats Own investments to add to the annual sales?
Mike McLamb: Yes. We -- Boats Own is an investment that we've made. So it's not going to really contribute per se to sales the way the accounting works. It's under the equity method of investment. So that wouldn't really impact the top-line. And that's just a great strategic investment for us and a great organization. Again, great people at Boats Own, great technology. In the superyacht services organization, we -- that's a very competitive segment of the industry, and we've never really disclosed how big they were when we bought them. They're obviously growing and they are contributing to our growth. They're still relatively small when you compare that to how big MarineMax is now today, north of $2 billion. But it's an important segment, as Brett talked about. It's a segment we're going to continue to try to grow. And maybe one of these days, it could be big enough, we actually have a separate segment that we report on. That would be -- that's sort of our goal, hopefully, is to get it that large. So it's a great part of the industry and a very -- it's a more resilient part of the industry and it's a very high margin part of the industry as well.
Operator: [Operator Instructions]. The next question comes from the line of James Hardiman with Citi. Please proceed with your question.
James Hardiman: Hey, good morning. So just a little bit of housekeeping first. Units versus pricing. You talked about that directionally I think units down, pricing up. Can you quantify those relative contributions? And then anything you could give us on momentum within the quarter, I guess, particularly from a units perspective. And is April getting better, getting worse as we -- obviously, so much is inventory dependent. But sort of any commentary on relative momentum?
Brett McGill: I'll start off. The industry, if you look at the March quarter, was very negative, 11%. But if you break that apart, and you say kind of the key categories that we play in, you would say the industry was down in the high teens, 18%, 19%, something like that. And that's all inventory availability. That's not lack of demand. There's just not enough product out there, it's what you're hearing from everybody. Our units were down in the mid to high single-digits is where it was down. So -- and that's new. When you look at everything combined, new, used, our brokerage business and all that stuff, we were much closer to flat. And then on the -- I think your next question was just cadence throughout the quarter, if I remember right. And our cadence is not -- it's not really demand related, because demand is strong. It's product related. And I would tell you, from my perspective, if I go back and look at -- the January quarterly call that we did, there were some tones that we were feeling better about the supply chain. We've just left a high unit growth December quarter, and there was tones of things getting better. I think if you fast forward less than a month from that call to the beginning of the Ukraine war, and then a week or two after that, the China lockdowns, it does feel like the supply chain has gotten a little choppier as we ended the quarter. So that's kind of how I'd answer. Supply chain inventory a little bit coming in. Our manufacturers continue to tell us we're getting the product.
Mike McLamb: And when we look at sales units and everything right now, it continues -- the theme continues for the last really couple of years. Nothing to do with demand. None of the sales are unit drivers that come from demand. They've come from supply, whether it's a little up or a little down and how that carries through the month in the quarter.
Brett McGill: Yes. And then the outlook on April, so we're expecting to have positive same-store sales growth. I don't have it in front of me, how that's going to break down between AUP and units. I do know that we're -- we have been tracking fairly well from a unit perspective. Despite my commentary, two seconds ago on supply chain. But the -- I think time will tell ultimately how much we get from the manufacturers, how much we can get out the door.
James Hardiman: Got it. And then sort of related question there. So if I think about units being down in the March quarter, guidance for the year is for flat units. And so presumably, that would need to accelerate. It sounds like so far, so good in the month of April. But maybe what gives you comfort in -- I'm assuming it's a commentary on supply chain, right? You'll be -- better availability for units to accelerate, particularly as you get into some of these bigger quarters where if you're sitting -- if you're still bouncing along the bottom from an inventory perspective, it's probably an even bigger drag from a retail perspective.
Mike McLamb: Yes. So our units year-to-date, so for the quarter, you're right, they're down. But remember, they were up in the December quarter. So year-to-date, our units are -- they're down slightly. They're not down a lot. They're down slightly. In the back half of the year, if you go back a couple of calls ago, as the manufacturers ramp up production, sometimes it takes a little while to hire people, train people, get product in, all that stuff. They've been articulating that the further we get into 2022, the better their ability to get us product. So they continue to suggest better availability of product kind of as we're moving into the summer months, which is great. And then that ultimately goes against where we have easier comps. And we just need to see that they're actually getting us the product to offset our slight decline right now through the March quarter. But they're indicating they will. We just got to kind of see it, I guess, and get into the quarters.
James Hardiman: Got it. That's really helpful color. Maybe one more question. It seems like maybe I'm towards the end of the queue. But I am getting more questions on real estate monetization that I've gotten really since the depths of the great recession. I remember what your stance was then, maybe revisit that. Is there any scenario in which you would look to maybe creatively create value via real estate?
Mike McLamb: It's a great question. And having talked to you for all those years and have been doing this for many, many years, including the great recession, the 2008 time period, those of you who may remember. We had mortgage debt outstanding on our properties when Lehman collapsed. And within about two quarters, we created so much cash, we paid off the debt. We didn't even need to create more value through our real estate. So we're very proud of the real estate we own. We think it's a brilliant move when you're in arguably cyclical business to own real estate. In a tougher time instead of paying rent to a landlord, you pay it to yourself. And it really was a smart move during that time period, and I think it's going to be a smart move in any other time period that comes up. There's a lot of value in real estate on -- that we own. We bought a lot of it years and years ago. We continue to buy it under what we think are pretty smart terms. We spend a lot of time around it. And so it's an important part of our philosophy and an important part of our balance sheet that we're not going to do -- I don't think we'll do a sale leaseback. We want to keep control of these properties. But if we ever needed to, we can leverage them. There's a lot of things we can do if we need to. I just -- we've lived through two different time periods where we did not need to do that because the company produced so much cash.
Operator: Our next question is from the line of David McGregor with Longbow Research. Please proceed with your questions.
Joseph Nolan: This is Joe Nolan on for David. I just had one quick question for you guys. Just on what you're seeing in terms of dealer traffic and lead generation. And also, you mentioned that the Miami and Palm Beach boat shows went pretty well. So just wondering how foot traffic was there as well? Thanks.
Brett McGill: Yes. So we watch all of that very, very closely. I'd say we really focused, obviously, on deals. We're contracting day over day, month over month, to make sure the trends are there. We're looking at inbound web traffic, which -- how many convert to leads, how many of those are new customers, how many are existing customers. So we're watching that daily and weekly and the demand and the traffic and everything seems to hold up really well. We don't monitor floor traffic. And we monitor it, we don't put as much weight necessarily on that because that can vary just depending on so many different types of locations. But web traffic and web leads are kind of your indicator and those are all holding up very, very well. And yes, the boat shows were good. Mike, you may comment, I don't remember, they were -- the traffic comparisons, but they were good shows for us.
Michael McLamb: I don't remember what the promoter said. I got to believe just being there that they both were above. And there wasn't really a comparison with like the prior year, depending on the show because it may not have happened. But generally, the industry would reflect on those shows as being very good shows and so would we.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. I'll turn the call back to Brett McGill for closing remarks.
Brett McGill: Well, thank you everybody for joining the call. Both Mike and I are available anytime if you have any questions and look forward to updating you on our next quarterly call. Have a great day.
Operator: This will conclude today's conference. Thank you for your participation. You may now disconnect your lines at this time.